Executives: Katharine W. Kenny - Vice President of Investor Relations Thomas J. Folliard - Chief Executive Officer, President and Director Thomas W. Reedy - Chief Financial Officer and Executive Vice President
Analysts: Simeon Gutman - Crédit Suisse AG, Research Division Matthew R. Nemer - Wells Fargo Securities, LLC, Research Division Rupesh Parikh - Oppenheimer & Co. Inc., Research Division Mark R. Altschwager - Robert W. Baird & Co. Incorporated, Research Division Sharon Zackfia - William Blair & Company L.L.C., Research Division Scot Ciccarelli - RBC Capital Markets, LLC, Research Division Elizabeth Lane - BofA Merrill Lynch, Research Division Matthew Vigneau - Goldman Sachs Group Inc., Research Division James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division Yejay Ying - Morgan Stanley, Research Division Clint D. Fendley - Davenport & Company, LLC, Research Division Joe Edelstein - Stephens Inc., Research Division William R. Armstrong - CL King & Associates, Inc., Research Division David Whiston - Morningstar Inc., Research Division Efraim Levy - S&P Equity Research
Operator: Good morning. My name is Trico, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Q4 FY 2013 conference call. [Operator Instructions] Thank you. I would now like to turn the conference over to your host, Ms. Katharine Kenny. Ma'am, you may begin.
Katharine W. Kenny: Thank you. Good morning. Thank you for joining our fiscal 2013 fourth quarter earnings conference call. On the call with me today, as usual, are Tom Folliard, our President and Chief Executive Officer; and Tom Reedy, our Executive Vice President and CFO. Before we begin, let me remind you that our statements today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see the company's annual report on Form 10-K for the fiscal year ending February 29, 2012, filed with the SEC and our new 10-K, of course, will be out shortly. [Operator Instructions]. Thank you. Tom?
Thomas J. Folliard: Well said, Katharine. Good morning, everyone. Welcome to the call. We're very pleased to announced a record year of both revenues and earnings for CarMax. Total revenues grew to nearly $11 billion. Retail used vehicle unit sales increased 10% to over 447,000 cars. We continue to implement our new store growth plan in fiscal 2013 as well, during which we opened 10 stores. That's the most stores we've opened since fiscal 2008. I'll go on to some other highlights, first for the year and then the quarter. For the year, used units comps increased by 5% compared to 1% in the prior year. Net earnings, up 5% to $434 million. Wholesale units increased by 3% on top of a 20% increase in fiscal '12. CAF income, up 14% to nearly $300 million. Tom will talk more about that in a second. Also, we've talked about market share at the end of each year. Our data indicates that we increased our share of 0- to 6-year old used vehicle -- 0- to 6-year old used in the -- we increased our share of the 0- to 6-year old used vehicle market by approximately 3% in the markets that we serve to a total of nearly 6%. Also, more recently, we've looked at our share on a broader basis, since that's where our inventory and sales have moved. And on a 0- to 10-year old basis, we estimate that our share has grown in the markets that we serve by about 6% to a total of approximately 4%. Now for the fourth quarter, used unit comps increased by 6% compared to 4% in the prior year. Total used vehicle gross profit grew by 12% and total wholesale gross profit grew by 11%. Wholesale units increased by 7% on top of a 13% increase the prior year, largely due to the increase in our store base. Appraisal traffic did grow modestly and at nearly 30%, our appraisal buy rate was slightly higher than last year's fourth quarter. CAF quarterly income also grew by a strong 15% this quarter. On SG&A. SG&A for the fiscal year increased 10% from $941 million in 2012 to right at $1 billion in 2013. More than half of the increase was related to new stores and growth. On a per unit basis, SG&A remained flat on a year-over-year basis despite our 10 new store openings. For the fourth quarter, SG&A increased 9% to $265 million but on a per unit basis, SG&A declined by $53 to 20 -- $2,212 per unit. Our year-end inventory increased by a little over $400 million compared to the end of fiscal 2012. Approximately 1/4 of this increase was due to our new stores. The remainder was due to comp unit growth and a faster ramp-up in units in anticipation of tax season this year. With that, I'll turn it over to Tom to talk about customer finance. Tom?
Thomas W. Reedy: Thanks, Tom. Good morning, everybody. So for the full year, CAF income increased $37 million or 14% to $299 million, as Tom said. This is in line with the growth in average managed receivables, which was up 16% during fiscal 2013. In the fourth quarter, CAF income grew $10 million or 15% compared to Q4 of fiscal 2012. And our portfolio of average managed receivables increased 17% to $5.7 billion. For the quarter, interest margin after the provision for loan losses increased 13%. Our growth in managed receivables are driven -- largely driven by strong origination volumes over the last 2 years, which were supported by the expansion in CAF penetration, CarMax's sales volume growth and the increase in the average amount financed. Net loans originated during the quarter increased 37% year-over-year, driven by the same factors. As we discussed last quarter, we saw customers respond favorably to our finance offers. That momentum seems to have continued in the fourth quarter, and CAF's net penetration in Q4 was 43% compared to 37% in FY '12. The allowance for loan losses grew by $14 million or 32% to $57.3 million. And as a percent of ending managed receivables, it increased 0.1% to 1%. This increase also reflects the growth in our portfolio, as well as that shift in the credit mix as we return to our prerecession origination strategy. That program of selling loans at CAF historically retained to third-party providers ended last January, it will take some time for the portfolio to fully reflect the change in origination strategy. Third-party subprime providers accounted for about 15% of sales in the fourth quarter, which is consistent with last year. There's no new news regarding access to financing. It remains very strong with over 90% of applicants receiving at least one approval from CAF or one of our partner lenders. Now I'll turn it back over to Tom to wrap up before questions.
Thomas J. Folliard: Thank you. I'll just touch on a couple of things before opening it up for questions. I'll talk some about the web and then store growth for the coming year. For our website in the fourth quarter, we achieved a milestone of over 10 million monthly web visits. For the fiscal year, traffic grew over 15% to an average of 9 million visits per month. Visits to our mobile site now represent 20% of total visits to carmax.com, while visits utilizing the iPhone or Android apps represent over 6% of our traffic. As far as growth for fiscal 2014, we plan to open 13 stores. That will be a record number of openings for us. We're very excited about the variety of superstores that we plan to open and the variety of markets where we will -- that we will enter. Two of our new stores will be small format models. One which we have already opened in Harrisonburg, Virginia and the other we'll open in the third quarter in Jackson, Tennessee. We'll also open 2 stores in new midsize markets in Columbus and Savannah, Georgia. And we'll enter 2 new large metro markets, with 2 stores each in Philadelphia and St. Louis. And then we'll also add a number of stores in some of our more successful markets including Baltimore, Sacramento and Houston. We expect to end fiscal 2014 with a total of 131 superstores. With that, Katharine, we'll open it up for questions.
Katharine W. Kenny: Thank you.
Thomas J. Folliard: Operator?
Operator: [Operator Instructions] And your first question is from Simeon Gutman.
Simeon Gutman - Crédit Suisse AG, Research Division: So my one question on traffic and conversion. It sounds like conversion's been a bigger driver of the comp the past few quarters; traffic, not as much. And so Tom, as you think about traffic coming back, we speak a lot about sentiment and macro, is it just that or do you think as the volume of some of the late model vintages start to improve, will that be a traffic driver in and of itself?
Thomas J. Folliard: Yes, I think that's a possibility. We've always thought about when we think of -- when we project our -- what we think our sales will be. We always think roughly in terms of comp sales that we'll get about half from traffic and half from conversion. And that's largely true over the long haul. It's not always true in a specific quarter. So in the fourth quarter, it was driven more by conversion than it was by traffic, but we still think over the long haul, we'll get about half from both. But we're extremely pleased with the execution in our stores. We have a lot of initiatives we worked on over the last couple of years with training and other things. And it looks like it's really paying off, and our store teams are just doing a great job executing with the customers that they have.
Operator: Your next question is from Matt Nemer.
Matthew R. Nemer - Wells Fargo Securities, LLC, Research Division: My question is did you see any impact to your business from the delayed tax refund season in terms of the cadence of sales? And then if I could sneak in a quick follow-up which is any competitive response to lower CAF rates from either your lender partners or other lenders that you're not partnered with.
Thomas J. Folliard: So on the first part, we don't really talk about cadence in a quarter, but what I will say is every year, tax season is an approximation. So it happens but it moves around between the end of January and all the way into March. This year, there was a delay, but a lot of times the tax season is going to straddle the fiscal year for us anyway. So Josh, I don't think it really matters. I think at the end of the day, we'll get all the sales that we expect to get, but it's really difficult to figure out without some more time passing and being able to take a look back exactly how it fell, but we sold a lot of cars. In terms of competitiveness to the rate?
Thomas W. Reedy: Yes, I guess, I can speak to that a little, Matt. With regard to the partners, as you know, we get the first look at the customers that are coming through the doors, so they really don't have the opportunity to respond and compete with us in the system unless we've conditioned the offer somehow and it passes down to them. And with respect to other people at the competitive environment in general, I think what we've seen happen and what we've have been doing over the last couple of quarters is we're seeing our better customers being warmer to taking us up on more aggressive rate offers. And as we view that and as the combination of the decrease in the APR they receive plus the increase in sales and the increase in amount of CAF penetration, all combined, we're looking at that constantly to determine what the optimal mix is if that's possible and try to optimize profit for CarMax all in going forward. But it's very difficult to see if there's any kind of competitive response to what we're doing because that world is going on whether we're there or not.
Thomas J. Folliard: And Matt, to Tom's point, I think what we're doing has been working, and we've been sticking with it. So there have been times in the past where lowering rates to our best credit customers hasn't necessarily delivered in terms of incremental sales, whereas now, it's working pretty well.
Operator: Your next question is from Brian Nagel.
Rupesh Parikh - Oppenheimer & Co. Inc., Research Division: This is Rupesh Parikh for Brian Nagel. So our first question, or I guess our only question, has to do with new store productivity. How do openings trended so far for the stores you opened in 2011 and 2012 versus your internal expectations?
Thomas J. Folliard: If you take the total, so since we've restarted growth, our new stores as a group are performing at least at our expectations.
Operator: Your next question is from Mark Altschwager.
Mark R. Altschwager - Robert W. Baird & Co. Incorporated, Research Division: My question is on the subprime piece. It seems appetite for subprime loans has improved quite a bit recently. And I think based on past calls, CarMax's said they're paying about $1,000 for each subprime loan originated by the third-party partners. I'm wondering is there an opportunity to renegotiate that rate or could CAF underwrite more of the subprime loans to lower the percentage going to the third party?
Thomas W. Reedy: I think the rate that we pay to those partners is something that we look at on an ongoing basis, and as we look at our business and the volume of subprime and what we believe the economics they might be achieving are, we'll consider that on a go-forward basis. As far as CAF, we're very comfortable with the book of business we're buying today. That doesn't mean we don't look for ways to expand it on an ongoing basis. We're also doing testing to see where we can pick up incremental business. And to the extent it makes sense, we can -- we will look at it. But at this point, we're very comfortable with what we're buying, with the spectrum of risk that we're buying.
Thomas J. Folliard: And also at the end of last year, we saw some movement with our third-party providers. And as you see, the fourth quarter this year as a percent of sales was the same as last year, so we don't see that same step function that we saw in the fall last year.
Operator: The next question is from Sharon Zackfia.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I guess I know you don't give guidance but with being more aggressive on the prime loans and the rates coming down for CAF of the loans that you're kind of generating, could you give us any idea on how you expect those spreads to progress throughout fiscal '14 and whether or not we should view direct lending income growth lag your retail sales at this point, or is that deferred more into fiscal '15?
Thomas W. Reedy: As far as timing, I can give you an overall feel for what we expect. If you look at the APR or the contract rates that we've given, the origination metrics, you see that it's trended down to 7.1% this quarter. It was 7.7% last quarter, and I think it was 8.7% last year. So clearly, we're trending downward with respect to the APR of the portfolio and what we're originating. That's going to get combined with cost of funds, which has also been trended down over the last year but seems to have stabilized a little bit most recently. And as I think we talked about either last quarter or the quarter before, it does take a couple of years for the impact of any kind of changes to get baked into the portfolio. So I think the expectation would be that as -- if we continue on the same path, you would see a compression in the overall spread of profitability for financing. However, we'd expect to have more volume as well.
Thomas J. Folliard: And it's hard since we've been saying for 2 or 3 years that we expect spreads to shrink and they really haven't. And now they kind of have started to, but we expected that a couple of years ago.
Thomas W. Reedy: Yes.
Thomas J. Folliard: And you see, our total profit per unit earned over the life of the loan has moved dramatically over the last 5, 6, 7 years. We were down around 900 or 1,000 up to around 2,000. We always expected that to settle back in some. And as Tom mentioned, the good news is despite the fact that it's settled back in, some of the rate testing we've done have delivered in terms of some extra sales. But in terms of projecting forward, it's very difficult.
Thomas W. Reedy: Yes. And obviously, our primary goal with the CAF business is to provide a competitive offer for our customers, and we have that first look. And one thing we do know is that we're going to make more money doing it ourselves than farm it off to a partner. So whatever that spread is doing, if it's driven by the competitive marketplace, I think it's better for CarMax for us to be doing it ourselves.
Thomas J. Folliard: The bottom line is, Sharon, it's a great time to buy a car. Rates are cheap, and we have lots of inventory.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Can I sneak a follow-up? The more aggressive rates, do you think that's just increasing CAF penetration or you actually think it's incrementally kind of benefiting sales, just to clarify?
Thomas W. Reedy: I think it is benefiting sales. It's not easy to discern exactly how much because, as Tom mentioned, we're executing very well on the stores. It also depends a bit on credit quality coming through the door, which is up a bit year-over-year. So CAF naturally get more customers. But yes, we do believe it's helping sales because the CAF offer is typically a more attractive offer than what you'll get from another partner.
Thomas J. Folliard: And the other factor is 3-day payoff. So at a more aggressive rate, you see less of that, so that ultimately helps net penetration.
Operator: The next question is from Scot Ciccarelli.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Another CAF question, actually. We saw subprime flattened out at 15% here this quarter, but CAF continues to increase its penetration rate. What's the right way to think about kind of CAF and subprime trends call it a year or 2 down the road? Is there some sort of guideline you guys are trying to kind of adhere to?
Thomas W. Reedy: No, we don't have a view to the future, and as you know, we don't really talk about where we think the world should be going. But we don't have any indication from our partners that we should expect the change in behavior from them as far as subprime and their aggressiveness. And as I mentioned before, I think we're pretty comfortable with the buy box we're in with CAF. We'll look at that on an ongoing basis, we'll test all the time. And as things evolve, we'll make sure that we're communicating.
Thomas J. Folliard: But, Scot, it's not like we pick a number and say, we're going to get CAF penetration to 42% and then we're going to stop. We're not -- we're looking to optimize total sales and profit. So I mean, if we could do more penetration on CAF and we thought it was a net positive for the business overall and that we could get it funded effectively, we would do that. Right now, we've kind of settled into what looks like prerecession levels. And as we've talked about, subprime lenders have been a little bit more aggressive in the last couple of years, so that's how it came up for the year, but who knows what will happen next year.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: I apologize for the follow-up here, but with a lot of the press releases that we've seen, or news articles, I should say, about even longer loan terms at least on new cars. We've seen news articles on 97-month leases -- or excuse me, car payments. Could we see CAF because the flexibility that you have actually extend the length of loan terms as well?
Thomas W. Reedy: Again, we will look at the market and what is going on and what we need to do to stay competitive. And to the extent we started feeling competitive pressure or we're unable to satisfy customers by not offering that product, it might be something we consider. At this point, we have not moved the longest term that we'll offer to customers.
Thomas J. Folliard: Yes. Scot, we haven't found that to be a deterrent for sales, or the people aren't asking for a mortgage.
Operator: The next question is from John Murphy.
Elizabeth Lane - BofA Merrill Lynch, Research Division: This is Liz Lane on for John. What are the limiting factors for store growth after fiscal '14? Because it seems like you have a solid store growth plan of 13 stores for the year, and after that, you've maintained your outlook of 10 to 15 stores per year. But what if anything would limit that growth towards the lower end of the guidance range as opposed to the higher end?
Thomas J. Folliard: Well, I mean, what -- mostly unknown factors that -- whatever could happen in the economy, unemployment, macroeconomic factors that we don't have any control over. We feel pretty good about the way we're executing our business right now. We feel pretty good about real estate availability and how well our teams have built back up the pipeline. We feel pretty good about our management bench, which we've spent time building up, and we've done it progressively over the last few years as we've, I think, in a very controlled manner, ramped back up our growth rate. So we feel pretty well positioned to continue to deliver the range that we've talked about for the next 3 years. And I don't see any reason why it would go back down to the low end unless something happens that we're not aware of.
Operator: Your next question is from Matt Vigneau.
Matthew Vigneau - Goldman Sachs Group Inc., Research Division: During the quarter, did you see any shifts in the growth rate for the 0- to 6-year old vehicles or even any shifts within this range? And related, were there any components within mix that had a notable impact perhaps on ASP which look pretty strong?
Thomas J. Folliard: Yes, we only talk about share for the full year because the data, one, is lagged, and two, it's not very accurate on the short term. So I can't really comment on any movement within the quarter. In terms of our mix of inventory, the mix of sales for the quarter, we did see some shifting within like 0 to 4 slightly over towards 0 to 2 away from 3 to 4. But our mix of older stuff, so from, say, 5 to 10, remains pretty stable and pretty high as a total percentage. So I think we're all expecting as supply comes back to pick up sales in a place where we have historically done very well, which is the kind of 0 to 4 bucket, but we've seen more movement in the 0 to 2 than in the, say, 3 to 4. And I think that's just a reflection of how cars have sold over the last 4 or 5 years. And now with the SAAR back up over 15 million in the past year and projected to go up again next year, I think you'll see the benefit of that in later model inventory over the next few years.
Matthew Vigneau - Goldman Sachs Group Inc., Research Division: Great. And anything that drove the strong ASPs within the mix of inventory?
Thomas J. Folliard: No, I think our ASPs were only up a few hundred bucks. That's kind of -- what?
Thomas W. Reedy: 4%.
Thomas J. Folliard: 4%, I would just consider that a little bit noise. Not mix-related, yes.
Thomas W. Reedy: Yes, not mix-related, right.
Operator: And your next question is from James Albertine of Stifel.
James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division: Just to shift gears to the gross profit per unit. It looked like it was relatively flat year-over-year, and I just want to understand as that late model resurgence starts to work its way into next year and then you noted the 0- to 2-year shift, what we should expect from a gross profit per unit basis going forward.
Thomas J. Folliard: Yes, I mean, we've addressed this a bunch on the call. As we shifted older, I think there were some concerns that gross margin per unit would decline because of the shift to older. But as we have talked about, that's not really how margin works. So we're not anticipating some big change in our margin per unit because we shift to newer stuff. Hopefully, we can continue to be a big player in older stuff as well so...
Operator: Your next question is from Ravi Shanker of Morgan Stanley.
Yejay Ying - Morgan Stanley, Research Division: This is actually Yejay, in for Ravi. My question is on acquisition costs and supply and more specifically of rental supply. So the rental industry seems to be moving fairly aggressively towards risk vehicles and in addition, also moving towards selling more directly to dealers and consumers versus wholesaling their cars. What kind of impact, if any, are you guys seeing from this dynamic from both the used and -- or retail and the wholesale perspective?
Thomas J. Folliard: Well, rentals -- the rental industry, when it comes back to market, is generally 1-year-old car with around 30,000 miles on it. There are tons of those cars at the auction. It doesn't really matter whether they go back as buybacks and the manufacturers run them at the auction or they're at-risk cars and the rental car agencies themselves run them at the auction. And despite lots of efforts to do the things that you mentioned, there's still tons of those cars out there at the auction. That being said, that's not a very big percentage of our sales to begin with. So again, that only represents 1-year-old cars.
Yejay Ying - Morgan Stanley, Research Division: Got it. And just as a very quick follow-up to that, what are you guys seeing in terms of -- in real time in terms of off-lease supply and just late-model used?
Thomas J. Folliard: Yes, there's been a lot of movement in leasing as a percentage of total sales. And I think you've seen some numbers recently up over 30%, I know Honda and Toyota are both over 30%, of vehicles sold were leased. We won't see the impact of that for 2 or 3 years when they come back off of lease. And I can't really predict what's going to happen in the short term, but what has historically happened as leases as a percent of sales have moved quite a bit over time. And we've seen it over our 20 years in the business. Sometimes that's 30% of sales, sometimes it's 15% of sales. It just means there's a different avenue for us to go and get those cars. So if it's -- if there's more -- if a higher percentage of cars are leased, they're a little bit more organized when they come back to the auction, because usually it's the lease provider that will run the cars. And if they're not off lease, then customers are still going to trade in and out of cars. They'll just be a little bit more fragmented in terms of the way that supply comes back to market.
Operator: Your next question is from Clint Fendley of Davenport.
Clint D. Fendley - Davenport & Company, LLC, Research Division: My one question, I believe you said that your data shows about a 4% total share of all used. I wonder if you could provide any color for how that share might vary across your store base, especially for some of your older stores?
Thomas J. Folliard: Well, we don't get into too many specifics, and we're talking about only 0- to 10-year old cars, so the market is obviously much bigger than that. And when we expand and start and talk about share in 0 to 10, clearly there are many cars that are in that kind of 6 to 10 range that just don't meet our retail standards. So they still count it sales, they're still in the denominator, but they're not in our share growth. And so we saw that percentage, that share of 0- to 10-year old cars for the year grow by about 6% ending at a total of about 4%. If you look at it market by market, we're going to have higher share in older markets. So places like Richmond or Baltimore, Washington or Raleigh or Atlanta, South Florida, places where we've been for a very long time, our shares are going to quite a bit higher than it is in a new market. But it's pretty varied, but in general, the older markets are going to have a higher share.
Clint D. Fendley - Davenport & Company, LLC, Research Division: Is your rate of share growth for some of the older stores significantly different from this 3% average that you've seen across the base?
Thomas J. Folliard: Yes. If you just think about it over the long haul, the way we expect sales to fall, we're going to get faster comp growth and therefore share growth in the early years of a store's life. And then that's going to slow as the store matures. So if we have a store that's 15-plus years old and it's selling up in the Baltimore market or some of our bigger stores, 800, 900, 1,000 cars a month, even a very small percentage gain there is a really, really big deal. So although we expect it to slow as the stores get older, it's still very, very valuable growth for us.
Operator: And your next question is from Rick Nelson of Stephens.
Joe Edelstein - Stephens Inc., Research Division: This is Joe Edelstein, in for Rick. How should we think about your ability to lever as you continue to ramp the new store base? Are we still looking for kind of a mid to high type single-digit comp number?
Thomas J. Folliard: Yes, we still -- I mean, in general, we still are thinking like that, but we're going to invest in the initiatives that we think are most valuable for the business long term. So when you look at the fourth quarter, we had a robust set of openings. We have kind of a difficult comparison when you look at the weighting of new stores are very SG&A inefficient. Yet for the quarter, we leverage our SG&A on a per unit basis by, what was it, $40 or $50. So we're pretty pleased with that, and that was with a 6% comp. So I couldn't tell you exactly, but if we have flat comps, we probably wouldn't leverage. And if we had higher comps, we would leverage a little bit more. But we think we need in the mid single digits to leverage if we're going to be -- continue to be aggressive with both growth and spending on initiatives.
Joe Edelstein - Stephens Inc., Research Division: That's helpful. And just a separate question as a follow-up. Can you give us some detail around the ESP allowance and why exactly that increased? Obviously, the revenues are going up. But is it just simply kind of a step function where you had to allocate more in there which then cost the penny to the quarter?
Thomas W. Reedy: Yes, I can give you a little more color around that. I mean, the ESP product is one that the customer can return. And if they return it, the partner that we -- partners that we deal with has to refund them the money and we have to refund a pro rata portion of the commission that we received. So every time we sell an ESP, we apply a reserve for returns. We look at that reserve on an ongoing basis. And we observed an increase in return activity in recent months and quarters. And it was appropriate to step up the reserve based on the experience that we had. So I wouldn't consider this an extraordinary item. And I wouldn't consider 1 penny material for CarMax, but the fact that it does distort the other gross margin line was the reason that we called it out, and it was about a penny. But it does represent essentially resetting the reserve for ESP returns.
Operator: [Operator Instructions] And your next question is from Bill Armstrong of CL King & Associates.
William R. Armstrong - CL King & Associates, Inc., Research Division: In terms of supply trends, are you already seeing improved supply in that 1 to -- 0- to 3- or 0- to 4-year-old range or is that sort of more anticipated as we move through the year? And related to that, are you seeing any major difference between the auctions and the appraisal lanes in terms of improvement in 0- to 3-year-old supply?
Thomas J. Folliard: Well, as I said, if look at 0 to 4, we've seen some shifting from 3 and 4 year olds to 0 to 2 year olds. In terms of the 0 to 4 in total, it really hasn't changed much, didn't change much for the quarter, some movement for the year. So it has started some, but again, I think it's going to be more of a delay based on what happens with the SAAR. That's what we've seen so far. In terms of the difference between the auction and the appraisal, I don't really know the answer to that. My guess is it's going to be somewhat similar.
Operator: Your next question is from David Whiston from Morningstar.
David Whiston - Morningstar Inc., Research Division: Now that the fiscal year is over, for a past couple of years, your competitors, in particular the franchise dealers and the rental agencies, have been coming a bit more efficient and more aggressive in used retailing. So at this point, do you and the board think that, that threat is stronger and more of a threat to CarMax, or do you think the market is still so fragmented that it really won't affect you guys?
Thomas J. Folliard: Well, if you look at the publics in total, all 6 of them combined, it represents about 2% of 0- to 6-year-old used car sold. So I'd say in general, the market is very fragmented. We are constantly trying to pay attention to any competitive threat, whether it's an organized way from a dealer or it's through kind of third-party providers who provide dealer services. So there's lots of online services that are making it easier for dealers to do various functions like offer financing or offer extended warranties and things like that. And we pay attention to all of them. We are very focused on continuing to improve the CarMax consumer offers so that we're competitive against any threat that we might see regardless of where it comes from.
David Whiston - Morningstar Inc., Research Division: And so related to your point, do you guys need to do increase -- dramatically increase your IT spending for your website or you're pretty happy with the investment level there?
Thomas J. Folliard: We're pretty happy. We've been spending quite a bit on it, and we've done so for several years, and we will continue to going forward. I talked about just the movement at some of our -- where the volume is coming from. Obviously, like everybody else, we're seeing lots of people come to the website via a mobile device, whether it's through our app or just through the mobile website. We have made lots of advancements there. We introduced an app just in the last 6 or 8 months. We just rereleased our Android app, which had some bugs, and we pulled it and we just rereleased that. But the app -- visits through the app are at about 6%, visits through the mobile website are about 20% of our total hits. And we've had some outstanding growth in our website of about 15% for the year. We had 10 million hits for the month for the first time ever, so it looks like some of our investments have been paying off, but we understand that we have to keep making those investments if we want to keep up.
Operator: Your next question is from Efraim Levy of S&P IQ.
Efraim Levy - S&P Equity Research: It's Efraim Levy at S&P Capital IQ. Could you provide some color on some trends in terms of mix, whether it's luxury versus non-luxury, car versus trucks, or brand shifts?
Thomas J. Folliard: Yes, we didn't have much. There's not much to report there. About 25% of our sales are in sport utilities and trucks, just to give you one big number. And that number remained pretty consistent year-over-year. We didn't have a lot of shift in terms of what we're selling.
Efraim Levy - S&P Equity Research: And same for appraisal mix?
Thomas J. Folliard: I'm not sure. Yes, it would be the same for appraisal mix because that's the big chunk of what we're selling so...
Operator: Your next question is from Sharon Zackfia of William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Just a follow-up. I think the other...
Thomas J. Folliard: Sharon, thank you for following the rules and getting back in the queue.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I did ask a follow-up earlier though, so I actually broke the rules before following the rules. But the other SG&A bucket, it actually went down in dollars year-over-year, and I was just wondering if there was any year-end true-up there or anything that you would really call out because it actually was kind of material on a year-over-year basis.
Thomas J. Folliard: I'll let Tom answer that one. That was too much detail for me.
Thomas W. Reedy: The answer is no, there's nothing in there to talk about.
Operator: Your next question is from Scot Ciccarelli of RBC Capital.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: We had about 32% inventory growth last quarter and 39% growth this quarter. I know you comment that you're relatively comfortable with it, and obviously sales have been pretty good. But I guess the question is how should we think about inventory growth going forward, and is there kind of direct correlation we can find between inventory growth and sales or is it less scientific than that?
Thomas J. Folliard: It is less scientific but it does change our confidence in how aggressively we would build. And that's really what you saw in the quarter. First of all, about 1/4 of the growth was new stores so that's pretty easily explained. Comps are up 6% so that's going to take another chunk of it if it was just linear. But last year, second and third quarter, we had negative comps, and normally, we're building for tax season coming through November, December and January. And we were definitely consciously less aggressive last year building inventory. Whereas this year, we were a little more confident. We built inventory more aggressively. So it's kind of a little bit of a double whammy. We weren't as aggressive last year, we were more aggressive this year. So I'd say last year, we were slightly down from where we wanted to be. This year, we were more aligned with where we wanted to be but it makes for a bigger spread right, after you take out roughly 25% for new stores and comps.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Okay. So going forward, now that tax season is kind of behind us, do we start to see the year-over-year inventory growth start to moderate going forward?
Thomas J. Folliard: Yes, that will really depend on what happens with sales. And we're also -- another factor for inventory for us is paying close attention to what's happening in the wholesale market, and appreciation and depreciation, it's another tailwind or headwind depending which direction it's going in terms of how aggressive we want to be with building inventory.
Operator: [Operator Instructions]
Thomas J. Folliard: Okay, seeing no further questions, I want to thank everybody for calling in today. I also want to thank all of our associates for all they do everyday. And we'll talk to you at the end of next quarter. Thanks very much.
Operator: Thank you. This concludes today's teleconference. You may now disconnect.